Operator: Good day, ladies and gentlemen and welcome to the Lightbridge Corporation 2014 and Third Quarter Business Update and Financial Results. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] Please note, today’s conference maybe recorded. I would now like to hand the conference over to Gary Sharpe, Head of Investor Relations at Lightbridge Corporation. Please go ahead, sir.
Gary Sharpe: Thank you, operator Karen and good morning and welcome to the Lightbridge 2014 third quarter business update. Our earnings news release was distributed early or after the market closed yesterday and can be viewed on the Investor Relations page of the Lightbridge website at ltbridge.com. We also filed the company’s Form 10-Q with the Securities and Exchange Commission. Seth Grae, our CEO, will lead today’s call. In addition, the following executives are available to answer questions, Jim Guerra, our CFO and Chief Operating Officer; Jim Malone, the Chief Nuclear Fuel Development Officer; and Andrey Mushakov, Lightbridge’s Executive Vice President for International Nuclear Operations. Today’s presentation includes forward-looking statements about the company’s competitive position and product and service offerings. During the course of today’s call, words such as expect, anticipate, believe, and intend will be used in our discussion of goals or events in the future. These statements are based on our current expectations and involve certain risks and uncertainties that may cause actual results to differ significantly from those estimates. The risks include, but are not limited to the degree of market adoption of the company’s product and service offerings, market competition, dependence on strategic partners, and the company’s ability to manage its business effectively in a rapidly evolving market. These and other risks are set forth in more detail in Lightbridge’s filings with the Securities and Exchange Commission. Lightbridge does not assume any obligation to update or revise any such forward-looking statements whether as a result of new developments or otherwise. You can participate in today’s call two ways. First, you may submit questions for management in writing to ir@ltbridge.com. If you have already submitted a question, we thank you. You can submit them at any time during the prepared remarks or during the Q&A period. Second, after the prepared remarks the telephone lines will be opened for live questions. So let’s get started. Here is Seth Grae, CEO of Lightbridge.
Seth Grae: Thank you, Gary and good morning everyone. Lightbridge continues to advance development of our patented metallic fuel technology and to grow our advisory services business. We are energized by the company’s prospects in 2015. Strictly speaking, today’s conference call and webcast is an update on events during the period ended September 30. But much of what most importantly defines the third quarter has come to fruition in the weeks since then. We have for example experienced a number of important highly relevant developments including; one, advancing plans to manufacture and test the company’s innovative nuclear fuel technology, two, introducing Lightbridge’s advisory services operations in promising international markets, three, enhancing Lightbridge’s financial strength and four, underscoring the correctness of our strategic focus on addressing the crucial needs of the nuclear power industry through improved operating economics and enhanced safety. As 2014 draws to a close, Lightbridge’s momentum is strong. I will mention that minutes before starting this conference call, we received the final fully signed two year contract extension until the end of 2016 from our highest revenue consulting client the Federal Authority for Nuclear Regulation or FANR in the UAE. The most significant of recent developments is Lightbridge’s initial cooperation agreement with Canadian Nuclear Laboratories Limited known as CNL a wholly-owned subsidiary of Atomic Energy of Canada Limited. Signed on October 20, this agreement lays the foundation to begin in 2015 design and planning work for fabrication and test reactor irradiation of our metallic nuclear fuel samples at CNL facilities at Chalk River, Ontario. These tests are important, because they will be conducted in a pressurized water loop of the National Research Universal reactor at operating conditions close to prototypic for large commercial water cooled reactors. We believe the results will confirm that our next generation fuel can deliver to utilities the indicated benefits of enhanced safety, increased power output and improved profit margins at both existing and new build reactors. Before we move on, I want to mention Lightbridge’s collaboration with Babcock & Wilcox. In late 2013 Lightbridge signed a memorandum of understanding with a subsidiary of Babcock & Wilcox to explore collaboration opportunities in fabrication of Lightbridge designed metallic fuel. Babcock & Wilcox is a long-standing and highly regarded supplier of fuel to the U.S. Navy’s nuclear powered fleet. With the selection of Canadian Nuclear Laboratories as a single location for fabrication and irradiation testing of Lightbridge designed metallic fuel samples, we can now focus our efforts with Babcock & Wilcox on a longer term goal of deploying a pilot scale facility for fabrication of lead test assemblies with Lightbridge’s innovative metallic nuclear fuel. Our near-term focus as a company is on working towards securing a letter of intent from the U.S. nuclear utility by the first quarter of 2016 to operate lead test assemblies with our nuclear fuel in a commercial power reactor in approximately the 2020 to 2021 timeframe. This timeline is illustrated on Slide 18 of the investor presentation in the Investor Relations section of Lightbridge’s website is called Lightbridge developments timeline. We intend to reach this seminal milestone in the first quarter of 2016. We are making changes to the company’s budget to reach it with our current cash and revenues. Specifically, the milestone we intend to meet in the first quarter of 2016 is a letter of intent from a U.S. nuclear utility to the U.S. Nuclear Regulatory Commission notifying the NRC that the utility plans to operate lead test assemblies of Lightbridge metallic fuel in an operating commercial power reactor in the United States in the 2020 to 2021 timeframe and naming the reactor. This type of notice from a utility to the NRC is significant and that it provides the NRC with advanced notice, so the NRC can make sure that it has the expertise to review this technology. With this notice, the NRC can construct a future work plan and can budget the required resources. This notice would support the NRC’s efforts to meet the regulatory review and approval timelines desired by the utility. NRC’s priorities would be assuring safety and non-proliferation. Our work with Canadian Nuclear Laboratories gives us one location not far away in a very friendly country virtually everything we need in the fuel testing and demonstration to meet this milestone. The U.S. nuclear utilities represent that on our Nuclear Utility Fuel Advisory Board are very pleased with our work scope and selected location in Canada, where the next phase of critical work – critical path work will be performed. In 2017, we expect the first major results from the radiation testing in Canada under commercial reactor operating conditions. We believe these test results will allow us to enter into a commercial arrangement with one or more major fuel fabricators or development partners in 2017. Our plan is to license this nuclear fuel technology, global nuclear power industry and enable fuel fabricators to manufacture and sell our nuclear fuel to their nuclear utility customers. Just as important as the technical work and industry involvement to reach that milestone of notifying a utility – of a utility notifying the NRC is managing the company’s cash. From the Board of Directors to management to staff, we are reducing cash compensation and replacing it with equity. We believe this approach preserves cash for the company and better aligns our interest with those of shareholders. We will all make more money from an increased stock price as we approach, meet and then exceed this key milestone. This initiative is also a statement about the close alignment of Lightbridge management and shareholder interests. Company’s efforts are focused on the success with our nuclear fuel technology and everything that does not support meeting that goal will be eliminated or reduced. This includes much of the travel and many of our outside service providers. The move to center the fuel testing and demonstration in Canada helps with reducing costs as opposed to traveling to Russia and it virtually eliminates political risk. An important new development is that last week we received our export control approval from the U.S. Department of Energy for all of the planned work in Canada. Of course, we will continue our consulting work overseas, which brings in current revenue, but we won’t be doing much new business development for consulting ourselves rather we are working with larger entities that will take the lead in business development to secure new consulting contracts while we provide specialized nuclear expertise. An example is our work with Lloyd’s Register in South Korea. We believe working with the right partners is the most effective way to grow our consulting business and revenues. It also holds down our overhead costs. We are pleased with our consulting business reaching new clients in new countries in 2014. Lightbridge is serving as the primary provider or subcontractor for new nuclear advisory agreements in South Korea, Vietnam and the United Arab Emirates. These contracts augment the existing services we are delivering in the UAE, including under that newly extended contract with FANR to the end of 2016 and elsewhere that have generated more than $55 million in revenue since 2008. The precise scope of work for our new contract is being determined right now in Q4. Investors aren’t shy about sharing their sentiments about the lumpy nature of Lightbridge’s consulting revenues understand. We disclose as much information about these contracts as their terms allow. Client’s nations and their government agencies can be reluctant to disclose plans and budgets for nuclear energy development. These contracts also can have long sales cycles. That’s the nature of nuclear advisory services. We understand that investors want to see more results. Lightbridge’s consulting contracts are prestigious assignments that favorably position the entire company in the global nuclear power industry and they have brought in revenues since 2008. In other developments, subsequent to the third quarter’s close, Lightbridge received slightly more than $5 million in gross proceeds from the sale of about 2.9 million units of common stock and warrants to a single institutional investor. As I mentioned earlier proceeds from this transaction will be allocated primarily to fuel technology research and development. The equity offering addressed Lightbridge’s need for near-term working capital and liquidity. The transaction closed on November 17 and going forward Lightbridge’s outstanding shares total 18,082,874. Additional information about our latest capital raise can be found in the Form 8-K and prospectus we filed with the Securities and Exchange Commission. Lightbridge fuel technology and advisory services continue to be well positioned domestically and internationally for more progress in 2015. The near-term catalysts and long-term growth opportunities are clearly identified. We are confident that Lightbridge is creating tremendous value for shareholders in the course of solving our industry’s current challenges. Now let’s open the call to your questions. Remember in addition to asking live questions by telephone, you can also submit questions in writing to ir@ltbridge.com. We will pause while the operator Karen reviews the procedure for asking live questions.
Operator: Thank you. [Operator Instructions] Go ahead.
Gary Sharpe: While we are waiting for the queue to build, we do have calls or questions that have come in over the internet to ir@ltbridge.com. Here is the first one. How should we interpret the New York Times’ article on plans to extend nuclear power plant licenses?
Seth Grae: There was and article in the New York Times I believe it was a little over a week ago. They have talked about extension of nuclear power plant licenses by the Nuclear Regulatory Commission to 80 years, the original licenses for the reactors in the U.S. and most countries around the world was for 40 years and many of those licenses are coming to an end. Now, most of them have been extended to 60 years with an additional 20 years added by the NRC to the operating license. And I think this article was very accurate that about 70% of U.S. reactors have already received those license extensions to 60 years. Virtually all the others will. Many of them are already in the application phase as they are applying – as they are approaching that 40 year period. And the NRC is now working towards lengthening that to do another 20 year extension, so they will be able to apply to go from 60 years to 80 years of license life. And this creates an opportunity for Lightbridge as the utilities will be looking at decades of additional fuel purchases and reasons to make these reactors as profitable and as safe as practical which is what Lightbridge’s technology is designed to do and what we expect to prove up at the NRU reactor in Canada.
Operator: And I do have a question from the phone line.
Seth Grae: Yes.
Operator: Our first phone question comes from the line of Matt Paolucci from Darvin Asset.
Matt Paolucci-Darvin Asset: Hi. Thanks for taking my call.
Seth Grae: Hi, Matt.
Matt Paolucci-Darvin Asset: Hi, how are you?
Seth Grae: Good, good. Thanks for calling.
Matt Paolucci-Darvin Asset: I have just got a quick question about has there been a contract manufacturer put in place to manufacture the fuel right at this point or is that old news?
Seth Grae: The fuel manufacturing thus far was done for the tests we did at a research reactor in Russia under research reactor conditions in Russia and it was manufactured by Russian government owned entities.
Matt Paolucci-Darvin Asset: Okay.
Seth Grae: With the move to Canada, we have all the benefit of those results from Russia, but we are now going forward in Canada, where we signed the contract, where Canadian Nuclear Laboratories will be manufacturing the fuel for these tests in Canada under commercial reactor conditions in the NRU research reactor in Ontario. We are also in discussions with Babcock & Wilcox about a pilot scale plant longer term for making the fuel for lead test assemblies for commercial reactors in the United States and/or other countries and we are in some discussions with others as well, but the only current contract now to make the fuel is making the fuel for these tests in Canada.
Matt Paolucci-Darvin Asset: Okay. Is there hardware involved with the – I mean, besides the fuel, I am assuming there is two different things, the fuel and the actual rod that I see a picture of on the website?
Seth Grae: Right, right, exactly. You need hardware to make that fuel you see on the website. And one of the great things about Canadian Nuclear Laboratories that is included when we say one site that has virtually everything we need.
Matt Paolucci-Darvin Asset: Okay.
Seth Grae: They actually make metallic fuels.
Matt Paolucci-Darvin Asset: Okay.
Seth Grae: They use metallic fuel for test purposes and other reasons in Canada and have equipment to make metallic fuel, there will need to be some modifications, some additions we have the whole budget on our website in our Investor Relations presentation, the IR part of the website, it’s really not much for that as we added to the equipment. Let me ask Andrey Mushakov and then Jim Malone to add a little more color on that as well who are both calling in from the road, but Andrey, could you start?
Andrey Mushakov: Yes, sure. This initial agreement, initial cooperation agreement with Canadian Nuclear Laboratories, which is a wholly owned subsidiary of Atomic Energy of Canada Limited, it’s a Canadian government owned facility that is well-known to U.S. nuclear utilities as well as throughout the world. They have premier test facilities. They have very significant and state-of-the-art fuel fabrication facility that our fuel development team visited a few months ago. The benefit of the Canadian Nuclear Laboratory facilities is the fact that they already have an existing fuel fabrication facility that has most of the equipment that we would need to fabricate our fuel samples. There are couple of pieces of equipment that we would have to procure and install over there, but the most expensive and the equipment that would require significant long lead times is already in place, which is a tremendous benefit to our program, because we can save millions of dollars in avoiding that equipment cost.
Matt Paolucci-Darvin Asset: Okay.
Andrey Mushakov: So, that’s the big benefit there. And then obviously, they have significant expertise with metallic fuel. They make research reactor fuel there, which is metallic. Some of it is metallic fuel, some of different type of metallic fuel, but the equipment they use to make that kind of research reactor fuel is the same that would be required for our fuel. So, we saw it ourselves. So, we are pretty pleased with the facility and the expertise they have and their willingness and desire to work with us. They are very interested in working with Lightbridge on this project. And then in addition to them, they also have national research universal test reactor, which has two pressurized water loops and they have pretty good sort of capabilities in those loops that fit pretty well with our taste and needs. So, we can work with them, probably get the samples of that fuel facility that they have, and then on the same site, we can irradiate those fuel samples. And then once irradiated, remove those fuel samples from that test reactor and come back to what’s called post-irradiation examination at the hot cell facilities that they also have at that same site. So, that would work pretty nicely with doing everything at that one single location for our program. And we can do it within our planned timelines and within our planned budget which is tremendous benefit to us.
Seth Grae: And just quickly, Jim Malone, if you wanted to add anything?
Jim Malone: I think we have really summarized it quite well. But I think the other important part is that all of the work in Canada is intended to confirm the features of the design with respect to operations during normal and upset conditions information that we need to support the lead test assembly program, so there is a sequence of them that we have to go through here. And we are going to obtain the operating data from the test reactor. We will confirm state operation under normal and accident conditions and that will give us the information we need to show the NRC to get the go-ahead to build leads for commercial scale deployment.
Seth Grae: Thank you.
Operator: Thank you. Our next question comes from the line of Art Brady, a Private Investor.
Art Brady-Private Investor: Good morning gentlemen. I am just curious if there has been any talk your technology in talking to Iran nuclear containment with – is there any kind of concept there that they can gain the capabilities for nuclear electric generation rather than weapons using your technology, has that been ever – has that ever come into conversations with the company?
Seth Grae: Well, let me give you the short answer which is no, we have no work whatsoever with Iran, our contact with Iran and we are looking for it. We just moved this fuel testing from Russia to Canada which gets us out of political risk and we can only imagine what it would with Iran. I will say that our nuclear fuel does bring tremendous benefits that we intend to be benefits we bring to the United States and to China and to other major and smaller nuclear markets around the world. What happens with Iran is handled by governments right now, not by private companies. I will say that one of the problems with Iran is it’s a lot more than their reactors and the fuel for the reactors that if it were only a commercial reactor program where the Russians provided the fuel to the reactors, took the spent fuel back to Russia there won’t be as much of a global concern. It’s that there are other facilities in Iran that can be used to enrich uranium separate from a commercial nuclear power program that could provide uranium enrichment at levels potentially for a weapons program. It’s that there is a heavy water reactor being built in Iran that could be used to produce plutonium potentially for a weapons program. And again neither of these necessarily have anything to do with civil nuclear program. In fact the countries that have developed nuclear weapons outside the Non-Proliferation Treaty like India and Pakistan and North Korea did so either without having a civil nuclear program at all or did so at facilities completely unrelated to the civil nuclear program. So while Lightbridge’s technologies certainly brings massive non-proliferation benefits to nuclear reactors if a country has separate heating facilities, we don’t do anything about that [indiscernible] to inspectors and things. And no, we are not going to risk our reputation going into Iran period if the U.S. government ever wanted to use our technology to do something in Iran, we consider having the U.S. government go do something. Not today, but that perhaps will happen in the future, perhaps it won’t – it’s not something we are seeking, any follow-up to that.
Art Brady-Private Investor: Okay. Another question is can you just briefly mention the funding that the Canadian Nuclear Authority has, how much money that they have allocated to this endeavor that you are currently working at and is it fully funded or will there be questions relative to its funding with governmental agencies and governmental budgets?
Seth Grae: Well, first of all, Canadian Nuclear Laboratories is in effect the national lab of Canada and they do receive budget from the national government of Canada, but they are in a process and part of their new name in the last couple of weeks going to the name, Canadian Nuclear Laboratories changed from AECL Chalk River Laboratories is that they are now seeking more private business looking to also like many U.S. national labs get involved with private business and the commercial industry and that works well for us. What – they are not providing us with funding, they are providing us with facilities that we are using, including a very large nuclear reactor and all those other facilities Andrey mentioned like hot cells post-irradiation examination facilities, nuclear fuel fabrication equipment saving us millions of dollars from having to separately provide that and it is in their interest to have these facilities used to be paid by us within the budget set forth in our presentations to do this work. So, no, they are not providing us with funding, but they are providing us with use of very expensive and world-class facilities as well as experts that are working at those facilities who we are now working with.
Art Brady-Private Investor: Okay, thank you.
Seth Grae: Thank you.
Operator: Thank you. Our next question comes from the line of Gary Seno from Olin [ph] Advisors.
Unidentified Analyst: Good morning gentlemen.
Seth Grae: Hello.
Unidentified Analyst: I am a shareholder for probably 7 or 8 years now and have followed the story and followed your progress and sometimes perhaps the lack thereof, which is not meant to be critical, it’s really meant to be a frank phrase in the form of a question, but it appears to me as being the shareholder for as long as I have and I have averaged down numerous times. So, I have created pretty significant position today. And what keeps me there is that the promise of the technology, the IP that you possess. And what my concern is today – what my question is today is given the market cap that you have, it seems to me that the finish line when I look at some of the projections from 5 years ago to where we are at today that the finish line has been pushed out some. And so – and yet I am hearing on the call that you are going to be what you can to watch their SG&A expenses, lower overhead and unnecessary travel and yet at the same time, we just had a reversal with Fukushima nuclear lights coming on so to speak once again, should it not be the time to step on the gas rather than focus on reduction of overhead? I know the importance to slowdown burn, yet at the same time I guess I am puzzled why somebody, why had you not been bought, why have you not merged with another company at a valuation acceptable to you and shareholders that could accelerate this distancing finish line by exploiting with fee for pockets behind you and sharing a bigger – a smaller piece of a bigger pie? Is it in our mind it’s one of two things, either people in that industry aren’t getting it or their valuation that they get it at isn’t acceptable to the board? I would welcome your feedback on this.
Seth Grae: Yes. Well, I think that’s all well put. And in terms of stepping on the gas, I mean we are, but not in SG&A. The R&D cost is fully funded we believe through hitting this M&O goal in the first quarter of 2016 having noticed to the NRC from a utility of the intention to use Lightbridge fuel in a commercial reactor that the utility will name in the United States starting with the fuel in that reactor in the 2020-2021 timeframe. We are not slowing that down. We are not cutting that. We have the clearest plan we have ever had. We have never had one location with clear timeframes with clear costs through getting virtually everything we need done to commercialize the fuel technology. As I said in my opening remarks I think that hitting this milestone, first I will say this year of having signed a contract, next year getting the fuel made, the year after that getting the fuel into the reactor under prototypical commercial conditions and having the notice we believe from the U.S. utility to the NRC and then 2017 having data from those tests under commercial conditions of how the fuel is doing will lead to such a transaction in the 2017 timeframe. I am not sure what the form of the transaction would be. It could be some sort of partnering, some sort of licensing deal, some other type of transaction with our IP potentially in acquisition, but I am really looking more the 2017 timeframe. And I think before then we would be leaving money on the table, because I believe we are going to hit these goals. So I think your question is well put. I think that I am grateful to hear how you would start with the company and you have bought more stock. I think we have the most solid timeframes now. And really what we have done had risks that we have been disclosing. And some of those risks happened. There are risks basing a lot of work in Russia. There are risks based in our work in some other places. We think that a lot of those risks are now behind us. Our patent was issued this year which we think largely puts our IP risk behind us. We think Canada not only removes a lot of schedule risk by having everything at one place where it can be done but also political risk which is something we have dealt with. So the risks aren’t behind us and the 10-Q we filed last night there are still some very serious risks we have outlined including technology risks. But we are more confident than ever. We have very solid partners that are contracting with us to go through what we need on the data for the licensing package, so a commercial reactor can get approval from the NRC to use our fuel in a reactor. And as I said in my remarks, we just last week got the export control approval for all of the work we are going to do in Canada through that point for everything that will be needed for the NRC licensing. And I don’t think there is another country on earth we could have got in that bigger scope of approval that quickly from the U.S. government which has sort of kudos to the relationship with Canada in many areas including as a NATO member country, but I will leave that Gary if you have a follow-up.
Unidentified Analyst: I do. I appreciate your answer and I would acknowledge that I am not trying to be equivocal suggesting that no progress has been made over the past several years. I just as an investor when I first was exposed to the company and looked at assessing the risks and rewards, I kind of threw out in my head that this is a strikeout for a grand slam home run that I don’t buy stocks for good as an orphans, this might take a high risk, high reward my position and that’s how I looked at the company and still do. I guess what I am saying is that my timeframe will realizing whether this would be in fact a strikeout or a home run as that finish line as I said it’s getting extended but we have more shares out there and there is some I am extremely accelerated both beyond dilution. And I am just having to reassess now whether it makes sense to once again add to the position or cut bait and I appreciate what you had said if I got to you right and I am with you on this if you are deciding when is the right time to go to the cashier window. There is always – that’s always a question. I have sold many companies and sometimes too early and I have experienced not capitalizing at the peak of the market. But as you well know, Seth, that you are a smart guy, the quarterback does not throw the ball to the end, where the end is at. He throws it to where he thinks that layer is going to be allowing for the time in the air. And it would seem to me that these associations, somebody like Babcock & Wilcox are over the larger smart companies with that could see today not 2, 3, 4, 5 years down the road again that they should be able to embrace where this company could be and step up now so that the valuation that you are leaving on the table. And I guess I am disappointed that they don’t see where the ball is going and management’s opinion that because of that with it’s not time to pick the grapes, but maybe if you can elaborate a little further now, I will be satisfied with your answer?
Seth Grae: Well, thank you and again I think that’s very well put. I think that people who were sort of first in as investors in the timeframe that you were mostly thought that this was going to within several years either be an enormous success or an enormous failure. I don’t think that was a notion that these years would take by and we sort of still be here with an extremely solid plan to still have all of the value we are looking to create that sort of industry would have acquired or coming sooner at this point, which hasn’t happened. I will say that just before I sat down to start this call as I received that notice from our 2-year contract extension with FANR in the UAE, I did a quick Google News search for Lightbridge to see if there is anything else. And I saw a headline that Lightbridge in McLean, Virginia had been acquired. We are in McLean, Virginia but it turns out there is a company called Lightbridge Telecommunications that got hired by an Indian company. So, maybe some day we will see the other headline, but not today, but in our same town it turned out that I didn’t even know, but I will say that there are some big companies we work with and have talked to that have in conversation talked about the possibility of an acquisition at some point in the future. We have never received a formal acquisition offer. If we did, management would evaluate it, would make a recommendation to the Board of Directors, the Board of Directors would make a recommendation to stockholders and the stockholders would vote on it. Now, we are working towards this 2016 seminal milestone, which we think is really the answer in an industry that we think follows what the customer wants, the utilities of the customer. If the utility show that they want this fuel, everything else in the industry will follow. The fuel fabricators will want to make the fuel. The NRC will be licensing the fuel, because the utility wants to buy it. That’s the seminal moment. So, yes, I am with you and if there were – it’s not like we have turned down an acquisition offer, we are very happy with the funding we received over this past week. It gives us the capital we believe to reach this goal and we have never had been this clear.
Unidentified Analyst: Don’t you find it curious, Seth, that you have not had a formal offer? I guess what I am – that’s what really amazes me, most companies that eventually get acquired, get have some flirtation and some – there are some passes made and it would seem that given the length of time that the IP has been possessed and the exposure given the various parts of the world that somebody somewhere would have said I get this and even if it’s going to take patient money to hit that grand slam that I want to take advantage of this market cap today. I mean, this is if the plan comes to fruition that the value of the IP gets monetized, it’s potentially is huge and because I am not an expert in this field, I guess I am disappointed that some other vulture who gets this better than me already asked in advance that, that’s what reason that’s kind of tells me either this is a virgin undiscovered or it’s been looked at in past you are seeing my dilemma?
Seth Grae: Well, yes, but that’s not really how I see it. We are in an industry that as I said is driven by customer demand and the utilities which have nuclear, which have natural gas, which have hydro when they show that they are serious about using this fuel the rest of the industry I think will fall in line. And we do have four major nuclear utilities advising us on our nuclear utility fuel advisory board. We are doing work with major entities in this industry. And we are trying to reach the goal you are looking for, although we might just stay from our current plan just be a licensing company which is our plan. And license this fuel into the industry and if there is an acquisition offer we will consider it, but we are about licensing this what we think will be a tremendous recurring income for the industry somewhat I hear you and I appreciate your comments and we are trying to deliver on them, I think we will.
Unidentified Analyst: Very good, Seth. My phone number is on file with the operator should you wish to have further discussion….
Seth Grae: Well, sure. Well, let’s follow-up and our lines are always open here too. Okay, next question. Thank you.
Gary Sharpe: We have a couple of questions that have come in over the Internet. Let me get to them. There is a question about so what is the importance of Japanese nuclear reactors being restarted in 2015. And then the follow-up question is there any significance in the recent rise in the price of uranium in the spot market related?
Seth Grae: Well, I will start and then I turn both questions over to Jim Malone. First of all on the Japanese reactors, Fukushima did tremendous damage, obviously to the Japanese nuclear industry, to the Japanese economy, to people who are evacuated from the surrounding areas who have their lives disrupted, some of them still do. And really globally to the nuclear power industry including here at Lightbridge where for example we had been named as the nuclear advisor to Italy that we had not been publicly announced and then Fukushima happened before we can publicly announce it and they cancelled there. Look at nuclear power, we had been advising Kuwait in their nuclear power program and they suspended that after Fukushima. So the fact that in Japan it self they are turning reactors and obviously has marketing implication that’s more a market for Lightbridge. It shows that countries that thought perhaps they could get buy just our natural gas and other means can’t because that’s very expensive to import LNG. And I think it’s good for the nuclear market, but it takes some time to a totally undoes the impact of Fukushima. In terms of picking up on the Fukushima question and on uranium prices I will turn to Jim Malone. And I will ask Jim just to start by mentioning how many times you have been to Japan since Fukushima.
Jim Malone: Yes. I thought I was going to answer in total, so I will do that first. I have been to Japan 81 times and since Fukushima about 15. So, I am committed [ph] whether – I also understand having had that many trips that I don’t know as much as I thought I did the very first time I went.
Seth Grae: Yes. I will mention one thing quickly getting back to our SG&A comment. These were not Lightbridge paid trips. These are find [ph] and other organizations that sponsor conferences and trips for our expertise.
Jim Malone: That’s true. The importance of the Japanese reactor restarts is really as much on the emotion side and the political side as it is on the technical side. It is interesting that the first units to be considered for restart were the Takahama units of Kansai Electric and for local political reasons they were delayed from a restart point of view and they substituted Sendai 1 and 2 operated by Kyushu Electric in Fukuoka. They did not choose to restart boiling water reactors first. The boiling water reactors are the type that we are operating at Fukushima. So, there is a lot of nuance and emotion and politics in the decision to restart. And that’s why it’s taken so long. In the U.S. if the Nuclear Regulatory Commission says you can do this, because we approve what you have prepared that’s the end of the story. In Japan, they do have a Nuclear Regulatory Authority. However, that was dismantled and then rebuilt after Fukushima, which added to the time for restarts. They reviewed the applications and approved them for restart and then the local political entities as well as sometimes the people in the area have the ability to approve or deny the restart process. So, there is an additional step that adds quite honestly emotion and politics to the equation in Japan with respect to restart. There are a lot of idled reactors in Japan that don’t need to be. As an aside one of the things that’s interesting and under reported in the media is that there are three reactors under construction in Japan and they have been under construction since event at Fukushima, they delayed a little bit and reviewed the designs and made some modifications, but they are going forward. The plant at Oma-machi, which is a large boiling water reactor, will burn plutonium and it is still going, they are going to have it finished by 2020 in commercial operation. So, the fact that they are still building should tell the world something, but most of the focus has been on restarts. With respect to a tie to the price of uranium which has moved substantially that is purely an emotional response to the fact that the Sendai reactors will be restarted early next year. There is no tie to fundamentals in the market that would suggest the price need arises quickly as it did, it will in my opinion settle down a little bit once people get more rationale as they look at it, because the utilities in Japan continued to accept deliveries of uranium under the contracts they had for supply even while our reactors were idled. And they did not rush to the market to sell inventory either. So, there is a large inventory in Japan that will have to be burned down before they actually reenter the market as buyers, but it is good news in that. It’s going to give some more confidence to the market, although as I say I don’t just expect the price rise to continue in the way it is. I believe there would be a slow convergence of the spot market price, which is currently at $44 and the term market price, which is currently about $52.50 and you will see a convergence around $65 to $70 per pound. And I think that’s going to be in the 2017 or so timeframe. I hope that helps.
Seth Grae: Thank you.
Operator: Thank you. And we have a question from the phone from the line of Walter Ramsley from Walrus Partners.
Walter Ramsley-Walrus Partners: Thank you. Congratulations on all of the progress. I have got a few questions kind of circling back to the original comments that you may test. First of all, starting off with the Babcock & Wilcox, you went through that quickly, but could you just kind of elaborate a little further what it is that you have in mind with them and how they are going to fit in to the whole picture?
Seth Grae: Yes. Babcock & Wilcox many, many years ago was one of the major commercial nuclear fuel fabricating companies. They sold off that division to the Government of France to become really the key part of what formed Areva as being a major player in that business. And they had also got the French into plants in the U.S. as part of that business in their subsidiaries. And Babcock & Wilcox continued and does continue today as the sole provider of nuclear fuel for the U.S. Navy, which now only uses nuclear fuel in aircraft carriers and in submarines that used to also use it in some surface ships. So, Babcock & Wilcox is one of the finest nuclear fuel manufacturers or fabricators in the world, but only for the U.S. Navy not for the commercial interest or industry. Babcock & Wilcox had I believe a contractual term with Areva that was a non-compete that kept them from getting back into that business for a certain period of time and that period of time has lapsed. And Babcock & Wilcox is getting back into civil nuclear and in fact will be splitting off as a separate company, the division that includes everything in civil nuclear. And within that is the mPower, small and modular reactor for which Babcock & Wilcox intends to make fuels. So Babcock & Wilcox is getting back into the civil nuclear fuel business albeit for small modular reactors that is looking at opportunities to enhance that and get perhaps into the larger scale commercial nuclear fuel business for larger scale reactors as well. It’s in that context that we started working with Babcock & Wilcox on a pilot scale plant which we have determined with them is feasible to do, one of the existing Babcock & Wilcox sites in the U.S. There is more than one site that it could be suitable where fuel could be produced for the lead test assemblies for commercial reactors. The first ones to use than in the U.S. and that the plant perhaps could be designed to be scalable to produce larger scale production. We also when we were talking about doing our testing in the research reactor under commercial reactor conditions at the advanced test reactor in Idaho we are looking at where to make the fuel for those tests and started talking with Babcock & Wilcox about doing that. Now that we have moved all of that work to Canada for the test reactor including making the fuel at that same site in Canada, we don’t need to do that with Babcock & Wilcox what would have been the immediate term or nearer term work which was the samples for the research reactor, because the research reactor in Canada will have the fuel made at the same site and the equipment that’s already there without that much modification as Andrey said earlier. So we are still working with Babcock & Wilcox on this goal of being the manufacturer at one of their existing sites for the initial lead test assemblies and a plant scalable to make more fuel than that. We also expect when hitting this goal by the first quarter of 2016 of a U.S. utility notifying the NRC of their plans to use our fuel and lead test assemblies in an existing commercial power reactor in the U.S. in naming that reactor that other companies will be interested by that time too because that will show serious customer interest by utilities. But we do intend to move forward with Babcock & Wilcox. It will be in this newly spun off company that I believe will be called BWXT that I believe will be publicly traded on the New York Stock Exchange, well I don’t know that that’s definitely finalized. But we don’t need to do what would have been the more immediate term work of making fuel samples in the U.S. because those are being made in Canada. Does that answer your question?
Walter Ramsley-Walrus Partners: I think it answers a lot of it. So, the next step with them would be to see how it goes in Canada and then develop a bigger scale manufacturing facility with Babcock & Wilcox?
Seth Grae: That’s true. Now we think there is other entities that will be interested in doing that too perhaps also in Canada, but we do intend to move forward with Babcock & Wilcox and we do intend to be a non-exclusive licensor in the end with more than one company making our fuel for world markets perhaps in different places in the world.
Walter Ramsley-Walrus Partners: I understand that, but at least the advantage they have as they have already familiarized themselves with your company and the basic technologies. So okay I was just kind of curious about that one. And then the consulting business you have went through that briefly as well, can you just kind of summarize what the current relationships are, the agreements that are in place and you had talked about working with partners more is that going to affect the profit margin in the future?
Seth Grae: No, no, once – hopefully it will actually not have a negative affect and perhaps a positive affect as it’s less G&A that we spent on that and more that partners do. But we have very good relationships with major partners we work with where we bring the specialized nuclear expertise. An example I mentioned earlier on the call was in South Korea, where we do very important nuclear safety related work for the Government of South Korea through their nuclear fuel company, KH – well, their nuclear utility KHNP, Korea Hydro and Nuclear Power. And our partner on that is Lloyd’s Register from the UK and our partnership with Lloyd’s Register is very good and they have all this infrastructure in South Korea that we don’t have to bring. They have an entity. They have an office. They have staff. We bring specialized nuclear expertise. As I mentioned earlier in the call, our ongoing work with the Federal Authority for Nuclear Regulation, the UAE, was literally just this morning got the final approval of the 2-year extension to the contract for the work we do directly there, but also they needed to have very important inspections work done. Lloyd’s Register is a great company in doing its inspections and we teamed with them and won this contract to do inspections at the site in Abu Dhabi – at the hardware coming in from suppliers. These will include, for example, specialists will examine welds once they are made and certify that welds was done right. And this inspection work is something that’s very good for us and Lloyd’s Register that combined as a team we can do and do in the nuclear area. We are also partnered with other major companies and are talking to some others now and looking at some bids in other countries. In Vietnam right now, we are working alone and we are doing work – we are the only U.S. company contracted in the Vietnamese Civil Nuclear area and we are working for the regulator called VARANS and we are working for the national lab called the VINATOM and we are teamed with a company called PECC1, which in Vietnamese stands for Power Engineering Joint Stock Company 1, where we are teamed on a bid to VINATOM. We are going to be the owners, engineer and consultant for a new national lab they will be building called CNEST with a new research reactor at the national lab that will be provided by Russia. And we are in discussions with other partners too, but this company in Vietnam obviously has a lot infrastructure, a lot of relationships, a lot of offices and entity, bank accounts. PECC1 is a local entity that brings us a very good partner in Vietnam. So, that work in the UAE, in South Korea, in Vietnam is the bulk of our consulting business right now. We sometimes do some work for U.S. nuclear utilities, including sometimes reviewing documents before they file them for the NRC. We have done small bits of work this year for a major Japanese company for a Chinese entity. We have done small bits of work in some other areas that could lead to bigger business, but mostly we are working with Lloyd’s Register and other entities looking at mostly in Asia, in Europe, in the Middle East at some new opportunities.
Walter Ramsley-Walrus Partners: Okay. Well, just out of curiosity, I mean is there a real emphasis being placed on the consulting business to try to leverage some of those other companies like Lloyd’s to basically generate some income for the company to live on or you just kind of stretch too thin and you have got to put your efforts on the operation in Canada?
Seth Grae: Well, the consulting business is strategically very important for the company, but the main point is to bring in the revenue that combined with the funding from our equity investors pays for the R&D. When I say the goal of the company is this first quarter 2016 milestone, I don’t mean the goal of our nuclear fuel division, I mean the goal of the company and the reason we are bringing in revenue and doing this consulting work and working with partners to bring in more revenue in the future is to support meeting the nuclear fuel goals that we don’t think you or others on the call are investing in a small to medium-sized consulting company. You are investing in a company that makes money from nuclear fuel technology and that’s ultimately the focus of the company.
Walter Ramsley-Walrus Partners: No, I understand. I mean, it’s like a second job. So, I mean, you are out making some extra income to pay the bills. So, I am just wondering if you got time to do that second job or if you can really generate that money and kind of pay the freight or if that’s more wishful thinking really you get once you are there?
Seth Grae: No, we shifted to we only have a couple of full-time employees that are working on consulting and they are full up with the work they are doing. But we have well over 200 people under contract that are really great experts around the world that we have worked with before and we have worked with either at Lightbridge are people who are here worked with them in previous jobs. And they bring us this amazing capability in nuclear consulting. So when we talk about this work in the UAE, in South Korea, in Vietnam, this is mostly done by people under contract to us who we paid for the hours they work. And when we don’t have work for them, we are not paying. So that works quite well for us.
Walter Ramsley-Walrus Partners: No, I would think so, so that’s why I am wondering if you can scale that up for a year or two and make some money off of that one, but I guess it’s easier said than done. So the last question I have is the change in the compensation schedule, I don’t know if you are at liberty to discuss that, but can you describe what the savings in terms of the cash burn might be and what form the payments will take whether it’s options or restricted stock or something else?
Seth Grae: Yes. It’s probably going to be options and for those who want restricted stock we might work with that, but that has more tax implications in the immediate term, but stock options also put us more in line with our investors who have warrants, so I like that too. The compensation in that sense will go down. There will be other people move towards being contractor status from full-time as can be. But also it’s you will see it really not just in the lower SG&A overall but in the ratio of what’s being spent on R&D to SG&A. And you will see that quarter-by-quarter going forward. So we are not going to give details on individuals you will see what has to be filed publicly. But for the most part it’s – the trend is as we discussed.
Walter Ramsley-Walrus Partners: Okay. Thank you, Seth. Nice talking with you again. Thank you.
Seth Grae: Thank you. Good talking to you, Walter.
Gary Sharpe: Alright. We are mindful of the hour, but there is one more question that we will take from the Internet, the question is it sounds like there is budget to bring Lightbridge fuel to lead test assembly status, is that budget achievable without additional capital raise?
Seth Grae: Well, that is our goal and we think it is. And that is our intent and we are not counting on any added revenue to get there. We are looking at the cash we have in the bank. And our goal is to hit that milestone in the first quarter of 2016 with our current cash and already contracted for and what we are certain of revenues that we already have booked in essence. But we think it is and that is our goal. We have announced it because we believe we are going to meet it. And we very much view this is as sort of an R&D raise that we did where investors don’t want to be paying for overhead, they weren’t be paying to – you will hit a goal like this and give a very clear shot. And one other thing I like about this goal in addition to what we have said on the call already is that it’s not a Lightbridge action and we can’t directly cause it to be done. It’s a real market indication. It’s a major utility that within it is a major nuclear reactor owner and operator as well as other generation they have. It could be one of the ones in our Nuclear Utility Fuel Advisory Board it can be another major utility in the U.S. but a major U.S. utility that’s a major nuclear power operator. If they decide in their interest to notify their main regulator, the NRC of their plans to the using this fuel in 2020-2021 timeframe in a reactor they would have the name to the NRC. They will have to pay to the NRC’s time which is what they to do any licensing work. They will have to do the filing with the NRC. The NRC would use that to budget it’s resources, including staffing to be able to see if they can meet that goal for the customer. So, it’s not something Lightbridge does. It’s what we are doing between now and the first quarter of 2016 combined with what we think are significant needs of this industry to make nuclear more profitable, compete with hydrofrack natural gas in ways that we think only our fuel can do while improving safety of reactors. And we believe based on our discussions with utilities and based on their needs that we are going to meet that goal and we are going to do it with existing cash.
Gary Sharpe: Okay. I believe if operator Karen would poll for questions once more just to be sure, then we will move to the closing remarks.
Operator: Certainly. [Operator Instructions] And I see no further questions from the phone lines.
Seth Grae: Well, thank you. Those were really excellent questions. I appreciate your spending time on the call today with us. Before we sign off, there is one additional brief item to mention. All of us at Lightbridge are saddened by the recent passing of Sir Ronald Grierson at age 93, who served as Chairman of the company’s Board of Senior Advisors. He built the distinguished career in the United Kingdom as a soldier, merchant banker and public servant. Until he died in October, Sir Ronald helped broaden awareness of Lightbridge in international markets. He delivered valuable counsel and we will miss his contributions. We offer prayers to his family. Finally, until the next conference call, our lines are always open at ir@ltbridge.com. So, keep these questions coming and we will answer them between now and the next call or call us anytime at 1-571-730-1213. We are energized by Lightbridge’s improving position in the expanding global nuclear power market and the opportunity to serve that market with our fuel designs and our expert independent advisory services. And with that, I will say until our next call thank you and goodbye.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the program and you may now disconnect. Everyone have a good day.